Operator: Greetings, and welcome to the Kulicke & Soffa 2025 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joe Elgindy, Senior Director, Investor Relations. Thank you, sir. You may begin.
Joe Elgindy: Thank you. Welcome everyone to Kulicke & Soffa’s Fiscal second quarter 2025 conference call. Fusen Chen, President and Chief Executive Officer, and Lester Wong, Chief Financial Officer, are also joining us on today's call. Non-GAAP financial measures referenced today should be considered in addition to, not as a substitute for, or in isolation from our GAAP financial information. GAAPs and non-GAAP reconciliation tables are included within our latest earnings release and earnings presentation. Both are available at investor.kns.com, along with prepared remarks for today's call. In addition to historical statements, today's remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and are subject to risks and uncertainties that may cause our actual results and financial condition to differ materially from the statements made today. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial condition, please refer to our recent and upcoming SEC filings, specifically our latest Form 10-K, as well as the 8-K file last night. With that said, I would now like to turn the call over to Fusen Chen for the business overview. Please go ahead, Fusen.
Fusen Chen: Good morning, everyone. Last month, we announced the intent to discontinue the electronics assembly or EA equipment business, subject to local regulatory approval. We acquired this business in 2015, and it is currently a component within the All Other category. We intend to fully support and serve our customers with equipment purchase requirements over the coming quarters. We will also continue to retain EA equipment technology, as well as the related aftermarket parts and service business, to support the existing install base and our customers' operational needs. We believe this decision, though difficult, was critically essential to ensure our underlying businesses are competitive and are properly aligned with beneficial long-term technology trends. Looking ahead, we intend to prioritize development and further leverage our dominant Ball, Wedge and ThermoCompression positions, where we have demonstrated clear technology leadership to address fundamental assembly transitions within high-volume, leading-edge and power semiconductor markets. Additionally, our APS business, which provides revenue consistency, as well as our emerging Advanced Dispense portfolio extend our technology leadership and provide additional growth paths throughout these evolving core-market opportunities. This restructuring effort is also intended to enhance our long-term financials, with anticipated improvements in both margin and through-cycle performance. At a macro level, the ongoing trade situation has increased levels of uncertainty throughout global markets and supply chains. This level of macro and industry uncertainty has created hesitation and a more defensive capacity planning approach, throughout our served markets. Sequentially, this hesitation was most evident in the Southeast Asia Automotive and Industrial market, which had the effect of limiting the seasonal momentum previously anticipated for the June quarter. Interestingly, over this same period, we saw utilization improvements in other Asia regions. While we are not immune from this macro near-term dynamic, semiconductor unit growth as well as the increased complexity of semiconductor packaging are expected to expand our served market. We remain confident in the industry’s resilience, and also remain confident that our global business, supply chain and development paths are best optimized as we look ahead. Over the near-term, we intend to further strengthen our growth prospects with a focus on Vertical Wire, Power Semiconductor, Advanced Dispense and Thermo-Compression, which I will discuss in more detail shortly. During the March quarter, the general semiconductor end market supported by improving Ball Bonding utilization rates experienced a 38% sequential increase due to improved demand from Ball, Wedge and TCB stemming from the U.S. and China. In view of the changes surrounding our EA Equipment business, we decided it was appropriate to simplify our end market disclosure and consolidate LED within Automotive and Industrial starting in the current quarter, as well as within comparable periods. This change is aligned with external semiconductor marketing forecasts where LED is generally a sub-component of the industrial market. With that said, Automotive and Industrial, was sequentially down in the March quarter, over the December quarter, largely due to the final Project W related LED sales which were recognized in the December quarter. Automotive and Industrial, excluding LED, was down approximately 7% sequentially, but was still up nearly 14% from the same period last year due to ongoing demand improvements of our Asterion and Power-C solutions. Within Memory, softer NAND system demand was the primary driver for our sequential reduction in the March quarter. Today, our current memory exposure is centered on NAND, but we remain focused to diversify into dynamic memory through the fundamental advanced packaging transitions effecting HBM for leading-edge memory, and also driving momentum for our emerging Vertical Wire solutions for high-volume memory. Finally, within APS we continue to enjoy a relatively stable base of parts, services and support revenue through this dynamic market environment. While there may be some fluctuations over the coming months, we anticipate overall installed base and utilization trends will continue to improve supporting a relatively stable level of APS revenue. At this point, we anticipate the majority of our businesses have gone through a long-term period of capacity digestion and remain very well positioned for the next set of Ball, Wedge, Advanced Dispense and Thermo-Compression opportunities. Within Ball Bonding, our ongoing pace of customer engagements as well as new product development remain on track with our Vertical Wire solution, which continues to gain momentum. Last month, we officially announced the launch of our latest Wafer-Level-Packaging solution, ATPremier MEM Plus, which is specially optimized for stacked DRAM opportunities. This high-potential new memory-packaging approach, is driving significant interest with leading customers, some of which are accelerating their transitions and may initiate new stacked DRAM production by 2026. Additionally, this Vertical Wire capability is also compatible with non-memory, fan-out devices, which support high volume general semiconductor applications. As explained on prior calls, similar to leading-edge applications, cost-sensitive wire bonded applications are also aggressively demanding new transistor-dense packaging solutions and our Vertical Wire technology is very well positioned to effectively address both high-volume logic and memory transitions. In addition to Vertical Wire, the pace of other Ball Bonding development initiatives remains on track. We continue to prepare for new solutions to this high-volume market over the coming quarters. Next, within Wedge Bonding, the power semiconductor opportunities continue to demand higher-current, higher-reliability and higher-efficiency devices. A few years ago, these power semiconductor applications were some of the most cost sensitive and competitive semiconductor assembly markets. The growth in electric vehicles and sustainable energy, has caused these basic power-control applications to become increasingly complex, requiring better materials, more robust interconnects, and more advanced equipment. In April, we proudly announced the launch of our newest Sonotrode-enabled pin welding system for power semiconductor applications. This new system, which leverages our leading Asterion platform, extends our market reach while enhancing alignment with the growing and evolving global demand for electric vehicles and sustainable energy. The use of pins within these markets is rapidly growing, which supports better inductance and better flexibility as they improve power monitoring and sensing to support higher-efficiency applications. Additionally, within this emerging high performance power-module market, there is an increase in new semiconductor materials such as Silicon Carbide, but also an increase in the use of copper materials and interconnects. Copper interconnects are a core competency for K&S which we intend to fully leverage as this long-term market evolution continues. Next, within the advanced dispense business, we continue to build out our portfolio of solutions as well as our customer facing engagements. We continue to grow our customer base and recently received an order from a high-volume U.S. based integrated device manufacturer. Additionally, our recently qualified solid-state battery opportunity has been performing well, and we anticipate a potential production ramp to begin over the coming quarters. Over the coming year, we are also focused to expand our Advanced Dispense market presence. This effort will combine our unique dispense capabilities with our existing market-leading, core-system technology. Turning to Thermo-Compression, our Advanced Solutions team continues to actively support logic and memory customers in production and development. We remain well positioned and are continuing to take share in advanced logic applications as the market transitions to next generation chip-on-wafer, and also wafer-on-substrate applications. Larger and more complex multi-chip processors for data centers and AI applications are expected to drive the next wave of leading-edge customer capacity. We have worked very closely with many customers over recent years and remain well positioned for the leading-edge, but also higher volume opportunities as mobility devices begin transitioning to chiplet and heterogeneous applications. Finally, for TCB in Memory, we continue to anticipate our unique fluxless solutions, which provides direct-copper, zerodie gap, and ultra-fine pitch capabilities will be a key contender for future HBM opportunities. Building on traction from the prior quarter, we expect to ship additional tools to a leading-memory customer towards the end of the fiscal year. As a reminder, our innovations in Thermo-Compression and Vertical Wire have unlocked new market access to logic and memory opportunities which our Company was previously excluded from. Today, as the world takes the next step to transition single-die semiconductor packages to multi-die and heterogeneous and chiplet packaging formats, Thermo-Compression is rapidly becoming the incumbent technology for high-performance applications, while our Vertical Wire solutions are increasingly well positioned to address a wide portion of the high volume market over the long-term. As a reminder, we remain the only Fluxless TCB supplier who has been qualified for high volume manufacturing with some of the world’s most advanced semiconductor companies and we are nearly fully booked for fiscal 2025. More broadly, we have nearly 120 systems installed base across 10 different highly-engaged customers. This helps to demonstrate our track record for winning, as this installed base captures a wider portion of the market than any of our competitors have been able to address. In closing, we have worked hard to ensure our business is best aligned with critical technology changes such as vertical wire in memory, TCB Thermo-Compression Bonding in leading-edge logic and our increasingly capable assembly solutions in power semiconductor. Additionally, our growing Advanced Dispense portfolio of solutions increases our potential across all of these long-term technology transitions. While recent core-market utilization trends are promising, we remain in an unprecedented state of macro uncertainty, although remain confident in our technology and market positions and are prepared to overcome near-term challenges. At this point, our cost structure, existing product portfolio and through-cycle performance are optimized and we will continue to enable fundamental technology changes throughout our served market. As we have done for seven decades, we will continue to closely support our customers and emerge a stronger, more profitable and more growth-centric Company. I will now turn the call over to Lester to cover the financial overview. Lester?
Lester Wong: Thank you, Fusen. My remarks today will refer to GAAP results, unless noted. I would first like to provide some additional details regarding our intent to discontinue the EA equipment business. As Fusen explained, this was a difficult, but necessary step to ensure our overall business remains competitive, aligned with long-term technology trends, and is optimized for through-cycle performance. We remain closely engaged with all key stakeholders as we plan for this intended wind down. We are currently seeking feedback regarding customer orders, and remain in close discussions with local stakeholders. During the March Quarter, we accounted for the majority of wind-down related expenses, which represented total EA related charges of $86.6 million. These charges were primarily related to inventory write-down, supply chain, asset impairment, and restructuring related charges. Dependent on local stakeholder feedback, and in alignment with our March 31st disclosure, we anticipate residual non-GAAP expenses to be below $15 million, and be accrued for in the first fiscal half of 2026. Turning to the March quarter’s financial results, we booked revenue of $162 million and gross margins of 24.9%, which included EA related inventory and supply chain charges of $38.6 million. Total operating expenses came in at $125.1 million which included restructuring charges of $8.8 million and impairment charges of $39.8 million. Excluding these charges, operating expenses would have been $76.5 million. Tax expense came in at $5.4 million related to our mix of profit and loss across entities during the quarter. We continue to anticipate our effective tax rate will remain above 20% over the coming year. We completed our previous, and also initiated our latest, repurchase program, with a 300 million dollar authorization during our first fiscal quarter of 2025. During the second fiscal quarter, we repurchased over 500 thousand shares for $21.3 million. While we do not anticipate current tariff announcements to have a direct impact on our ability to manufacture and sell our products and services to our global base of customers; unique geopolitical and trade dynamics have created near-term order hesitation in certain capital equipment markets. Looking into the June quarter, sequential order activity decreased in Southeast Asia, while order activity increased in China and Taiwan, which was aligned with our utilization data. We have also begun to see global customers begin reallocating equipment across manufacturing sites, which highlights our industry’s ability to flex around trade dynamics. With that said, we anticipate semiconductor unit growth will continue to improve through fiscal 2025. While some customers may delay capital expenditures until critically necessary, we expect continued capacity digestion, supported by improving utilization rates within Ball and Wedge bonder to continue over the near-term. Looking into the June quarter, we announced a revenue outlook of $145 million, plus or minus $10 million, with gross margins of 46.5%. We anticipate non-GAAP operating expense to be $68 million, plus or minus 2%, a GAAP EPS loss of $0.09 and a non-GAAP EPS gain of $0.05 per share. Although the near-term market dynamics are challenging, we continue to anticipate an eventual return to incremental capacity growth in core Ball and Wedge bonding markets and continue to see ongoing capacity digestion and field utilization improvements. Incremental opportunities in Vertical Wire, Advanced Dispense, and Thermo-Compression are in addition to this anticipated improvement. As we remain focused on these strategic opportunities, we are well prepared to navigate near-term macro-level uncertainty. This concludes our prepared comments. Operator, please open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Krish Sankar with TD Cowen. Please proceed with your question.
Krish Sankar: Yeah, hi. I have three questions. First one, Fusen, I'm just kind of curious, can you give some color on June? What are the dynamics? Is it predominantly general, semi, and auto, industrial? It's going to be down quite a bit. And how do you think about it beyond June? I understand a lot of moving parts, but any color you can give beyond June would also be helpful.
Fusen Chen: Okay. So, Krish, we have a Q3 slowdown. And this slowdown is the most pronounced and the evidence in our Southeast Asia region. I'll give you an example. The Q3 Southeast Asia slowdown accounts for the majority of our total Q2 to Q3 weakness. So, I'll give you a number. Our Q2 revenue is 162, and the Q3 guidance is 145. The difference over these two number of majority actually is a weakness from Southeast Asia. So, therefore, it is really our belief, this near-term slowdown was due to a concern regarding the potential and the unknown impact for auto and the industrial industry from our customers. So, I think in the script, we mentioned why we see the weak outlook for Southeast Asia. In the meantime, we also see the utilization rate improve in Taiwan, China, and other regions. And the utilization rate actually is at or close to a triggering broader capacity addition. So, we see positive, but we also have actually a very big slowdown in Southeast Asia. We believe it's auto-industry related, and it's because of the unknown type of impact. People hesitate to build a capacity just for the industry. So, yes, the number is a little bit bigger. And the reason, I think, is because we have a bigger, larger presence of auto exposure. And also, our manufacturing concept is a flexible in our manufacturing cycle. And we're working with customers in the up-term and down-term with a shorter cycle time. So, I think these two are together. I hope I explained your questions.
Krish Sankar: Yeah. That’s very helpful Fusen. Just to follow up on this, any view beyond June quarter? Is it too hard to say today?
Fusen Chen: Yes. So, June quarter, it's really our belief. The Q4, June quarter is Q3, Q4. We believe it will be better. It's feedback from customers. And also, some of the weakness in Q3 will be renewed in Q4. And hopefully, this can be a short-term phenomenon. And it's also supported by utilization rate. Actually, in some regions, already the number can trigger capacity buy. So, we think Q4 will be better. But how much better? Actually, it also depends on MECO and some clarity. If we have better clarity, I think we should have a sequentially up from Q3.
Krish Sankar: Got it. And then, just to follow up on TCB, your TCB exposure is predominantly logic, hardly anything in memory. Can you give a color on how it's progressing? I also noticed that your European competitor last week announced five new orders for TCB chip to wafer. So, I'm kind of curious, lay of the land, and maybe if you can talk about TCB, your TCB exposure today, and how do you see it evolving in memory, if you have a shot? Thank you.
Fusen Chen: Okay. So, practically, our first revenue for TCB was 2020. So, although we don't want to say it's quite large, but I think we made good progress with high growth rate. And we actually focus with logic first. And we actually are competent at this moment. We can grow in both IDM and also OSET, also in the foundry side for logic. And this year, we put a lot of effort in the memory. We expect to ship additional system by end of the year. And we won't say this is easy, but I think we're competent on our technology, and I hope we can have some results in 2026. So, I think, to answer your question, sequentially, we got to focus in actually some segment. And from now, I think it's a good time for us to focus on TCB.
Krish Sankar: Got it. Thank you very much, Fusen. Thank you.
Operator: Our next question comes from Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely: Yes. Good morning. I was curious, what was the revenue run rate of the EA business that you're exiting, or any kind of metrics around the size and profitability would be very helpful?
Lester Wong: Yeah. Hi, Tom. It's Lester. So, based on the recent past, the EA revenue was about $25 million to $30 million a year. Gross profit is on $7 million to $11 million. And the operating expense is about $20 million to $25 million.
Tom Diffely: Great. No, thank you. It's very helpful. And Lester, did you say that there would be a $15 million per quarter charged through the first half of 2026?
Lester Wong: No, no, no, Tom. What we said is also consistent with the disclosure on March 31st. I said that after this, all the write-down this quarter, the $86 million, we think it'll be less than 15 for the rest of the shutdown. And that will probably be a little bit in the next two quarters, and then more in the first half of FY26. Subject to our discussions with local stakeholders, we believe that the business, other than to support existing customers and warranty and service, should be done by the first half of FY26.
Tom Diffely: Great. Thank you very much for that. And then maybe just a quick question on the power semi-side. What are the dynamics you're seeing on the powers front?
Fusen Chen: Well, I think the power is going to grow rapidly in terms of volume. And there was a lot of European companies actually invested on it. But recently, I think China actually also gained some market shares. So we are very happy. We still have very high market shares in the power semi. And there's a transition to the power semi to be more effective with higher power, more cost-effective. So we have two new products. One is a solar charge. I actually discussed that in my script. And this is for a pin welder. The other one, actually, we call Everline. This is a clever pitch. So we actually announced these two new products. We believe it's going to be an important product, start to contribute revenue for us in 2026.
Tom Diffely: Great. Thank you, Fusen.
Fusen Chen: Great. Thank you.
Operator: Our next question comes from Charles Shi with Needham & Co. Please proceed with your question.
Charles Shi: Hi. Thank you. Good evening, Fusen and Lester. Maybe Fusen, the first question is about the market dynamics. What if you can further unpack a little bit more? China ordering activities up, Southeast Asia is down. That's understandable. But it's a little bit interesting to hear that Taiwan is also up a little bit. In terms of ordering activity, you would assume Taiwan is subject to the same tariff dynamics as Southeast Asia. Why is there a little bit of bifurcation between those two regions? Is it Southeast Asia more impact on auto-industrial side and Taiwan more on the general economy side? Or what's the reason?
Fusen Chen: Okay. So let me explain Southeast Asia first. Southeast Asia, we believe, actually, utilization rate is still not high enough. I mentioned about Taiwan and China. Actually, it's a utilization rate is actually high enough, potentially can trigger capacity buy. But actually, we didn't see that yet. Maybe it's because of hold back. People, for the unknown period of time, they can run actually utilization rate higher than even slightly higher than 80. But Southeast Asia, I think, utilization rate is below that. And as you know, the tariff impact to auto is a big deal. And Southeast Asia actually have a lot of actually European investment and also OSEC and create a big base for auto capacity. And the Southeast Asia, the slowdown actually account for almost majority of the slowdown sequentially from Q2 to Q3. I hope I answered your questions.
Charles Shi: Yeah. Yeah. That's a very, very interesting color. Fusen, maybe another question about the fluxless TCB. I think in your prepared remarks, there's some new languages there. You are saying fluxless TCB, at least for fiscal 2025, it's fully booked. I wonder if you can provide some color what that means, because I don't think your fluxless TCB revenue forecast was that aggressive. It was, I believe, you were guiding to like 40% to 50% young year growth. When you say it's fully booked, do you mean it's… can we even read that as it's actually a little bit supply constrained at this point or... Yeah. Okay.
Fusen Chen: Actually, I think it's really a limit in our capacity. We have some capacity in U.S. and right now we moved to Asia and we intend to actually increase capacity. So I probably can say this a little bit better. I think right now we are capacity constrained right now. And we actually will create more capacity. It's undergoing.
Charles Shi: So is the 40% to 50% young year growth, you think you can still reach that target for... Yeah.
Fusen Chen: So for example, I think we actually right now, give you an example, maybe a capacity, we are actually -- we just start in 2020, right? 2020. We actually have a capacity, a target to reach about 60 system per year, right. So this is incremental capacity we are undergoing to increase.
Charles Shi: Got it. Maybe last one. Any update on the leading foundry? I believe you should say dual head system already. Any expectation, repeat orders and the timing of it?
Fusen Chen: Okay. So our system actually is a long-range high volume production and also multiple system and also a new customer qualification. This year, our TCB only, we expect about $70 million. Next year, we actually expect probably a hundred or above hundreds. So the difference of ‘26 and ‘25, part of that actually is a growth of foundry, right. But as we qualify more customer and more devices, I think we will have additional upside on top of that.
Charles Shi: Okay. Thank you, Fusen.
Fusen Chen: Thank you.
Operator: [Operator Instructions] Our next question comes from Craig Ellis with B. Riley Securities. Please proceed with your question.
Craig Ellis: Yeah. Thank you for taking the question and good evening, Fusen and Lester. I wanted to start going back to some of the utilization increases you're seeing in China and Taiwan and just try to understand them in a little bit more detail. We've seen pretty visible signs that certain supply chains, PCs since February, March have been tracking well above seasonal. Smartphones seem to be doing that early in 2Q. So the question is, if that is happening and it seems like it's happening on build-aheads given tariff impacts, is there potential that related demand in the second half of the fiscal fourth quarter or in the fiscal first quarter would be below seasonal because we've already had the utilization benefit early in the year as companies try to best operationalize to mitigate tariff impacts?
Lester Wong: Hi, Craig. It's Lester. No, we don't think so. I mean, utilization rate, you're right, as Fusen said, is quite high in China and Taiwan and also in general assembly. But what I think as we indicated on the call is in a normal cycle at these utilization rates, people should start doing capacity buys. But we're not really seeing that. And I think the reason for that is, again, there's a lot of cautiousness among our customers. They want to see how this tariff thing kind of plays out. So we don't think that the utilization rate is going to start falling. We think it's already remaining at this level. And I think without the tariff uncertainty, we believe that China, Taiwan, North American, Europe, I think the revenues would be much higher in Q3. And that's why originally we believe that the second half of the year historically has always been in the first half. I think this has really been affected by the global trade dynamics as well as the tariff. I think as we get more clarity on the tariff, I think then people will start making purchases. I think right now people are doing it just if it's critical necessity. So I think also, as said in the earlier reply, people are running it at a much higher utilization than they normally would. So we don't think actually it will fall off in Q4 and Q1.
Craig Ellis: That's really helpful, Lester. Thank you. And then the second question is more longer term. So interesting ambition to move into the DRAM, HBM market and LPDDR market in fiscal ‘26. The question is, as we think about the memory business now, which is very NAND-centric, how material could DRAM be in fiscal ‘26 and ‘27 relative to the business that you currently have? And how broad would you expect your exposure to be across the memory supplier base?
Fusen Chen: So I think then we have a very high market share. HBM, we actually put a lot of effort. In the meantime, there's also many, many competitors over there. So we will see how well we will do. But I think we work closely actually with one, but also with others. But one actually has a base of focus. So in terms of DRAM stack and die, we actually see this [indiscernible] is going to be very important for the industry in both logic and memory. The first customer we see is going to go to production. This for a stack DRAM is going to be in the first half of 2026. And not only, almost every memory customer is working with us, and including IBM. So next year will be a transition year. And we probably can give you more update about the order. Maybe it will go to production for the first half, and we will see the order. Maybe our fiscal 2026, maybe Q1 or Q2. So we believe the Vertical Wire will take off, and there will be many, many customers is going to work on this for the first product. First product is going to be DDR. It's going to have a capability to reduce the form factor about 30%. And this is going to be on a mobile. But this is only a first application we believe vertical wire is going to find a home for many other applications in the future.
Craig Ellis: That's a significant form factor reduction, Fusen. And thanks for all the color, you too, Lester.
Fusen Chen: Thanks.
Operator: Our next question comes from Dave Duley with Steelhead Securities. Please proceed with your question.
Dave Duley: Yes. Thanks for taking my question. Just a couple of clarifications. You talked about the utilization rates in Taiwan and China being elevated. Could you just give us what those percentages are at this point? And then also a bit of a housekeeping question. What is your IC unit volume assumption for calendar 2025 and 2026, if you have them?
Lester Wong: Hi, Dave. Utilization in China is over 80%. In fact, it's almost to the mid-80s. In Taiwan, it's just touching 80% or so. And semi-revenue growth, we still expect about 10%, a little greater than 10%.
Dave Duley: In calendar 2025?
Lester Wong: Yes.
Dave Duley: Okay. And then as far as the HBM opportunity goes, I think you've made it clear you're working with one specific customer here. And is it fair to assume that HBM4 or HBM4e is the cut-in point? Or usually, it's with a new product. Maybe just explain to us what new product you think you'll get cut in at.
Fusen Chen: Well, right now, the high volume is a 3e, so we expect it will be a future generation. Yeah. Most specific, I think, are from HBM4.
Dave Duley: So HBM4 would be the target point to try to incorporate yourself into the market, so to speak?
Fusen Chen: Yeah, that's correct.
Dave Duley: Okay. And final question from me is, you've talked about, I guess, demand hesitation driven by trade policies and tariffs. But could you just talk about any impacts that you might have? I assume that you can ship from Asian facilities into China, so there won't be a major tariff impact from doing that. And then maybe just talk about if there are any higher costs, input costs, into your products from tariffs. Thanks.
Lester Wong: Yeah. So, Dave, you know we manufacture our capital equipment here in Singapore, so shipping it into China will not trigger any tariffs. Because the tariff right now from China is aimed towards the United States on a reciprocal basis, right. So we don't think there's any direct impact for us. As we indicated, the impact is more on an indirect basis, as our customers and their customers are right now a little bit uncertain about how all this is going to play out. So therefore, they're much more conservative in their supply chain, right? So that's, I think, what we've been talking about earlier. As far as cost is concerned, I think there will be, again, there may not be a direct cost, but there's always going to be indirect costs. Tariffs cost everybody money, right. So I think it's across the board.
Dave Duley: Okay. And one final clarification is you talked about the customer hesitation in Southeast Asia. And I guess you're kind of suggesting that that's an industrial automotive in-market driven. And then I think you even mentioned it was European customers. Is that the really way to think about it is European auto and industrial customers are the main customers or the food chain that is in hesitation, so to speak?
Lester Wong: Well, David, I don't think Fusen said it was just these people who are in hesitation, right. I think all our customers are in hesitation, including those in Taiwan and China, which is why at that high utilization rate, they're not making the orders that they normally would make. I think what Fusen was talking about Southeast Asia in particular is we see Southeast Asia actually dropped the most sequentially from Q2 to Q3. And part of that is because we have a large auto industrial client base in Southeast Asia, and most of them are, you're right, are IBMs from Europe. And they are very, so they are particularly, I guess, affected by concerns about the tariffs. So we didn't say it's only them that are concerned about the tariff. I think it goes across the board is that they particularly have been affected in Q3 when you compare it to Q2.
Dave Duley: Okay, thank you.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Joe Elgindy for closing comments.
Joe Elgindy: Thank you, Maria, and thank you all for joining today's call. Over the coming quarter, we'll be presenting at several conferences and roadshows. As always, please feel free to follow up directly with any additional questions. This concludes today's call. Have a great day, everyone.